Operator: Good day, and welcome to Navitas Semiconductor Q3 2023 Earnings Call. All lines have been placed on mute to prevent any background noise. After the speaker's remarks, there will be a question-and-answer session. [Operator Instructions] And finally, I would like to provide all participants, this call is being recorded. Thank you. I'd now like to welcome Stephen Oliver, Vice President of Corporate Marketing and Investor Relations to begin the conference. Stephen, over to you.
Stephen Oliver: Good afternoon, everyone. I'm Stephen Oliver, Vice President of Corporate Marketing and Investor Relations. Thank you for joining Navitas Semiconductor's Third Quarter 2023 Results Conference Call. I'm joined today by Gene Sheridan, our Chairman, President, CEO and Co-Founder; and Ron Shelton, our CFO and Treasurer. A replay of this webcast will be available on our website approximately one hour following this conference call, and the recorded webcast will be available for approximately 30 days following the call. Additional information related to our business is also posted on the Investor Relations section of our website. Our earnings release includes non-GAAP financial measures. Reconciliations of these non-GAAP financial measures with the most directly comparable GAAP measures are included in our third quarter earnings release and also posted on our website in the Investor Relations section. In this conference call, we will make forward-looking statements about future events or about the future financial performance of Navitas, including acquisitions. You can identify these statements by words like we expect or we believe or similar terms. We wish to caution you that such forward-looking statements are subject to risks and uncertainties that could cause actual events or results to differ materially from expectations expressed in our forward-looking statements. Important factors that can affect Navitas business including factors that could cause actual results to differ from our forward-looking statements are described in our earnings release. Please also refer to the Risk Factors sections in our most recent 10-K and 10-Qs. Our estimates or other forward-looking statements may change, and Navitas assumes no obligation to update forward-looking statements to reflect actual results, changed assumptions or other events that may occur except as required by law. And now over to Gene Sheridan, CEO.
Gene Sheridan: Thank you, Steve, and thanks to everyone for joining the call today. As we continue our mission to electrify our world with next-generation power electronics, I'm pleased to announce another record quarter for Novitas as our gallium nitride and silicon carbide technologies continue to displace legacy power silicon in traditional markets and enable and accelerate new energy markets. Our Q3 revenues increased to $22 million, up 22% quarter-on-quarter and up 115% from Q3 of last year. On a non-GAAP basis, gross margin also continued to increase for the fourth quarter in a row to 42.1%, up from 41.5% sequentially and up from 38.4% in Q3 last year. We also remain confident that we will more than double revenues in total for 2023 as compared to 2022. Just yesterday, Navitas' dramatic growth stories was recognized for the second year running by Deloitte, including our company in their Fast 500 list, with annual revenue increasing over 2,000% in just three years, Navitas is one of the fastest growth tech companies. In addition to our strong financial performance, it's a very exciting time at Navitas as we're launching four major new technology platforms in the second half of this year. Our GaNSafe technology launched last quarter set the new benchmark in our industry as the world's most protected, most reliable and highest performance GaN power semiconductors with advanced protection, higher power capability in cool operation, GaNSafe breaks the glass ceiling that has prevented gallium nitride from entering the high-power high-reliability markets for a decade. Now applications from AI data centers and solar inverters to EV powertrains and traction drives can benefit from this high-speed feature-rich technology for higher power density, higher efficiency, robust reliability, faster charging and lower system costs. We are also launching our Generation 4 Ganfen tapered ICs, which are our most integrated GaN IC, replacing dozens of components with a single Ganis to reduce footprint, simplify design and enable switching frequencies up to two megahertz and mobile fast chargers and consumer adapters. For home appliance motors, pumps and compressors, these application-specific generation core ICs feature lossless current sensing and programmable turn on and turn off for efficient, small, quiet power delivery. This quarter, we are also launching a new generation of our GeneSiC technology called Gen-3 Fast with switching performance up to 50% better than competition. Together, Gen-3 Fast silicon carbide and GaNSafe power ICs are targeting electric vehicles, roadside chargers, solar inverters, energy storage, data center and industrial applications in the 1 to 30 kilowatt range. The fourth and potentially the most exciting and impactful announcement is a breakthrough innovation called bidirectional GaN. Now for the first time, the GaNICs can operate quickly and efficiently conducting and blocking currents in both directions. This bidirectional GaN allows the replacement of up to four discrete power transistors providing similar functionality while dramatically reducing component count, cost and complexity and delivering the speed and efficiency benefits of gallium nitride. We believe this invention has the potential to create innovative advances in energy storage grid infrastructure, motor drives and many other emerging topologies and architectures across multiple markets, much more to come on this front. Let me now turn to updates for each of our target markets and how these new technologies are already having an impact. In the mobile market, we continue to see strength and upside led by our major Tina OEMs, Xiaomi and OPPO as they are rapidly expanding their use of GaN in a broader range of their mobile chargers. In fact, we now anticipate that about 30% of their total mobile charger shipments in 2024 will utilize GaN. This is a major milestone for our whole industry. GaN has moved from beachhead to Main Street. In addition, we just announced a major win as Navitas GaN has been adopted at Samsung Sandstone to power the latest Galaxy S-23 among other models and is already contributing to our Q3 and Q4 revenue ramp. Our new Gen 4 GaN [indiscernible] is further accelerating our success in mobile as we now have over a dozen customer projects in development, targeting the fastest charging segment of 100 watts or more already projected to contribute over $10 million per year in revenue ramping next year. In the solar and energy storage markets, we observed the same near-term macro market softness that others have observed, creating headwinds for our silicon carbide business. However, as GaN and silicon carbide are displacement technology versus legacy silicon MOSFET and IGBT, we also see robust growth in our customer pipeline. Our current outlook for the solar market, consistent with what we've seen from various analysts is for a recovery in the second half of 2024 and based on our pipeline and customer activity, we expect our revenue growth in solar to exceed that of the industry in 2024 and beyond. It's a similar story in EV, while some OEM forecasts have been tempered; we are experiencing significant increases in our customer pipeline in both onboard and roadside chargers. Our EV system design center has just completed development of a 6.6 kilowatt, 800-volt onboard charger platform, which sets all new industry benchmarks and system efficiency, density and cost. We see significant customer interest in this exciting new hybrid platform, which achieved such high performance by integrating both our latest Gen 3 fast silicon carbide devices and our new GaN safe IC. In data center, as discussed previously, the recent dramatic technology and market developments surrounding AI have created unprecedented demand for more power, higher energy efficiency and greater power density. Our system design center has really stepped up to the challenge with a new 4.5 kilowatt AC to DC platform design that offers energy efficiencies well in excess of 96% titanium plus standard and has sliced the power density of previous best-in-class legacy silicon designs. As a result, the number of projects in our customer pipeline have grown significantly in the past quarter. The customer pipeline in appliance and industrial is also growing significantly at major OEMs initiate GaN or silicon carbide programs to meet regulatory requirements for energy efficiency and consumer demands for power density improvements, along with the transitions from gas-powered heating and cooling systems to fast adoption of heat pump technology. As mentioned earlier, our Gen-4 GaNSense ICs are application optimized and a big draw for 100 to 1,000 watt home appliance applications with Gen-3 Fast silicon carbide and GaNSafe Power ICs addressing higher power industrial markets. Looking across all of our target markets, the system benefits derived from GaN and silicon carbide are amplified by long-term secular trends. These include electrical energy source conversion from fossil fuels to renewables, gas-powered vehicles transitioning to all forms of electric transportation and the intense and rapidly accelerating power demands of AI and edge computing. Additional momentum is provided by continued energy efficiency and noise pollution regulations. While we’re not immune to some market slowdowns as displacement technologies in traditional markets and is accelerating and enabling technologies in the energy markets, we expect Navitas' GaN and silicon carbide revenues to far exceed market growth rates in 2024 and for years to come. You can hear more about our growth plans at our exciting in-depth in-person Investor Day held in conjunction with our new headquarters opening day in Torrance, California on December 12. This agenda includes a deep dive into our four new technology platforms, highlighted applications in growing markets, customer pipeline review, financial outlook, insightful customer presentations and an immersive introduction to Planet Navitas, the future of our electrified planet. We encourage you to join the Navitas management team, Board of Directors, customers, media and special guests at our new headquarters for this important event. And now over to Ron to review the financials.
Ron Shelton: Thank you, Gene. In my comments today, I will first take you through our third quarter results, and then I'll walk you through our outlook for the fourth quarter and some of the market dynamics we're seeing. Revenue in the third quarter of 2023 was again well above our guidance, growing 115% year-over-year and 22% sequentially to $22.0 million. The beat was driven primarily by continued strong growth in the mobile market and initial mass production for a major Tier 1 onboard charger customer. Our results were tempered somewhat by macroeconomic factors impacting high-end consumer and fuller markets. Nevertheless, we continue to see strong positive indicators for revenue growth over the near term and long term. Our pipeline continues to grow and has added a new record, and we continue to experience strong bookings as evidenced by entering the fourth quarter nearly fully booked. Before adjusting expenses, I'd like to refer you to the GAAP to non-GAAP reconciliations in our press release earlier today. In the rest of my commentary, I will refer to non-GAAP expense measures. Gross margin in the third quarter increased to 42.1% from 41.5% in the second quarter of 2023 and 38.4% in the second quarter of 2022. Gross margins in the quarter were at the higher end of our guidance due primarily to excellent yields exceeding our internal targets, which we believe already leads the industry. Third quarter total operating expenses were $17.9 million, comprising SG&A expense of $7.4 million and R&D of $10.5 million. This is in line with our guidance. And as we've discussed in the past, as revenue scales, we are investing in our business in a disciplined manner as we focus on growing profitability. Putting all this together, the loss from operations was $8.7 million compared to a loss from operations of $10.3 million in the third quarter of 2022. Our weighted average share count for the third quarter was 175.1 million shares. Turning to the balance sheet. It remains very strong with high levels of liquidity. Cash and cash equivalents at quarter end were $176.7 million, and we continue to carry no debt. Accounts receivable were $17.6 million compared to $15.2 million in the prior quarter reflecting higher sales during the quarter, but our days sales outstanding improved as we continue to focus on working capital efficiency. Inventory declined to $15.9 million compared to $18.9 million in the prior quarter, and days of inventory outlook continues to improve bettered by nearly 50% from one year ago as we continue to move towards exceeding our inventory turnover goal of better than three times. We took an adjustment of $2 million during the quarter for reserves against GaN product that was two generations old as our customers and end markets migrate towards our Gen 4 and other higher performance and higher integration products like GaNSense and GaNSense Control. Moving on to guidance for the fourth quarter. We currently expect revenues ranging between $25 million to $26 million. At the midpoint, this represents substantial year-over-year growth of 106% over the $12.3 million we recorded in the fourth quarter of 2022 and an expected 16% sequential increase over the third quarter of 2023. Our guidance is based on continued silicon carbide capacity expansion and continued strength in mobile and ongoing market share gains in EV onboard charging. I'd also like to note that at the midpoint of guidance, our revenues for 2023 will have increased 108% over 2022, which is consistent with what we indicated at the beginning of this year. Gross margins for the fourth quarter are expected to improve to approximately 42.5% plus or minus 30 basis points. In total, our non-GAAP operating expenses in the fourth quarter are expected to be approximately $20 million, and this excludes stock-based compensation and amortization of the intangible assets. We continue to invest in growth-oriented initiatives for our end markets. As we have indicated before, we expect increases in our spending will be substantially less than growth in our revenues as we continue to see leverage in our business model. To put that in perspective, compared to the fourth quarter of 2022, at the midpoint of our guidance, we expect revenues in the fourth quarter of 2023 to grow 106%, yet operating expenses based on our guidance are expected to grow only 18% over the same period. For the fourth quarter of 2023, we expect our weighted average share count to be approximately 179 million shares stock-based comp to be approximately $12 million and amortization of intangible assets to be approximately $4.8 million. In closing, we are extremely pleased with the results for the quarter and our near-term and long-term outlook. While we see similar macro trends as others, such as the impact of higher interest rates on the high-end consumer and solo markets, and we are entirely immune to those trends. As our results indicate, we are showing that we can outperform the market and expect that going forward, we will continue to grow significantly faster than the overall growth rates in our targeted end markets. Operator, let's begin the Q&A session.
Operator: [Operator Instructions] And your first question comes from the line of Quinn Bolton of Needham & Company. Your line is open.
Quinn Bolton : Hey, guys, congratulations on the results. I guess maybe, Gene, it sounds like you're going to give us a lot more detail on the four new platforms. But wndering if you might be able to just kind of give us some direction for GaNSense, GaNSafe, the Gen-3 SiC and the bi-directional, what end markets are these platforms targeting? Are there specific  target end markets for each platform or do these platforms kind of address most of the end markets you're targeting?
Gene Sheridan: Yes. Great question, Quinn. Yes, the GaNSafe and Gen-3 Fast silicon carbide are both targeting higher power, more industrial markets. So in general, you'll see them going into data center solar, energy storage, EV and industrial markets. GaNSafe Half-Bridge, the Generation 4 GaNSafe Half-Bridge that we're just launching is very targeted on mobile and consumer at the higher power range, 100 watts to maybe 500 watts. Bi-directional GaN, the fourth platform, that's the newest it's technology announcement, so the actual products we'll be launching next year. And it's such a groundbreaking thing, we're still debating and discussing all the different applications it might go into. It could be anything from mechanical circuit breakers being displaced by semiconductor ones, very fast, very efficient, very reliable. It could be into AC to AC motors, which are huge in industrial and appliance markets and others. So it's pretty far reaching, and we'll be exploring that further with customers as we launch the products next year.
Quinn Bolton: I guess I wanted to sort of ask a question on bidirectional. I thought at least in concept of Fed, it tends to be the bidirectional in nature, right? And so what -- can you give a little bit more detail what's unique about the new bidirectional GaN fab that you've developed? Just a little bit more color would be helpful.
Gene Sheridan: Yes, yes, definitely. So a number of power semiconductors can be bidirectional in flowing the current. The problems are not bidirectional and blocking the current. So if you truly have a circuit that requires you'll be able to block in both directions, with silicon, whether it's an IGBT or a super junction or even existing GaN and silicon carbide, you have to put them back to back. So one can be blocking one direction while the other one is flowing the current and vice versa. So you end up doubling up the components. And if you want the same performance, we're actually doing this all monolithically with a single chip. And if you want performance, the way the kind of math or performance works out, it could be replacing not only two back-to-back, but even four back-to-back for the same performance with a single chip and a fraction of the size, cost and the great energy efficiency and speed you get with gallium nitride.
Quinn Bolton: Got it. Thank you. I’ll jump back in the queue.
Gene Sheridan: Yes. Thank you, Quinn.
Operator: Your next question comes from the line of Jack Egan of Charter Equity Research. Your line is o pen.
Jack Egan: Hey, guys. Thanks for taking the questions. So regarding the in-sourcing of Epitaxy, the different types of epi reactors for silicon carbide kind of come with a set of trade-offs, regarding throughput and epi uniformity. So I was just curious about your primary rationale for in-sourcing Epitaxy. Was it largely just increase throughput and prevent any bottlenecks from developing or does in-sourcing actually give you more control and improve yields or quality or anything like that?
Gene Sheridan: Yes, great question. I think there's a number of benefits you just touched on most of them, right? But I think I'd put cost, number one. I think epi has matured to the point that we can bring this in-house with a little bit of help from the equipment supplier, and we've hired a top industry expert in epi, that's done this for two other suppliers. So we think we've got the capability to do it. And number one is the cost reduction coming from having it in-house. But then there's a bunch of secondary benefits, control over your supply chain, likely shorter cycle times, assuring ourselves of having the capacity exactly when we need it in the future, controlling quality. And even I wouldn't rule out intellectual property, different things, inventions that are going to give us fundamental advantage compared to others that are buying outsource epi.
Jack Egan: Got it. That makes sense. And for the new GaN -- since ICs, the PR said that they're expected to contribute $10 million to annual revenue. Is all that incremental or might some of that come at the expense of growth in some of your older product areas?
Gene Sheridan: Yes, that is a great question. I actually do believe it's all incremental. I'll clarify. It's $10 million annualized starting to ramp throughout next year, so it wouldn't necessarily be $10 million for the full year. But this is also emerging developing things. We've just started sampling the products in the last few months and launching it this quarter. So we expect those numbers to grow over time.
Jack Egan: Got it. Okay. Thanks. That's helpful.
Gene Sheridan: You bet.
Operator: Your next question comes from the line of Joe Moore of Morgan Stanley. Your line is open.
Joe Moore: Great. Thank you. I wonder if you could touch on your smartphone demand, maybe starting with China. You mentioned the strength there. How much of that do you think is penetration for you guys versus a recovery in that market? And kind of where do you think you stand with inventory there?
Gene Sheridan: Yes, definitely. Thanks, Joe. Yes, Smartphone is obviously a very pleasant upside for us started in Q2 of this year and has gone from sort of strength to strength. It started and continues to be heavily based in China, Xiaomi and OPPO are the two that we highlighted. We traditionally had a very strong relationship with both of them, very high market share with our GaN. So it's super exciting to see this kind of upside To your question though, about where is it coming from? It's actually a classic case of this displacement technology that we have today. They don't have to ship any more chargers for their numbers to grow dramatically. We mentioned that 30% of their total number of chargers next year, we are projecting to use gallium nitride. So even if their business was flat, you could be going from 10% or 15% adoption rates to 20% or 30% driving a lot of that revenue. So I think a lot of it is just conversion or displacement from legacy silicon over to more efficient, more powerful, faster charging gallium nitride. And it's not just China. We did mention also the great success we're having at Samsung with the S23, but that's already driving second half revenue growth as well.
Joe Moore: And I just as a follow-up, I did want to ask about the S23 win. Can you talk about what kind of penetration you might see there and how pervasive that technology could be within Samsung?
Gene Sheridan: Yes. We don't have specific adoption percentages on the Samsung stuff like we do with Xiaomi, OPPO. Clearly, they're earlier stage, but I think Xiaomi and OPPO have been kind of leading the charge, if you will, for mobile charging for the last few years since candid option got started. So we see the other players in Korea and US following their -- in those sweet steps, if you will, from a GaN adoption perspective. It is being sold as I believe, an inbox or at least an optional inbox. So when you go to -- you go to buy that S-23 from our experience, the attach rates on even what we call optional inbox can be very, very high, especially when it's promoted as a GaN charger, fast charger, which I believe is adhesive.
Joe Moore: Great. Thank you.
Operator: [Operator Instructions] Your next question comes from the line of Jon Tanwanteng of CJS Securities. Your line is open.
Jon Tanwanteng: Hi, good afternoon. Thank you for taking my questions and nice quarter. You guys mentioned some slowdown that you saw in particular in market solar, high-end consumer. Would you say that's a net negative for your near-term compared to where you expected it to be? Or is that being offset by these bookings and new business in other places just versus your internal plan?
Gene Sheridan: Yes. We haven't -- thanks, Jon. We haven't quantified that adverse impact, but there's no doubt we could have done even higher growth rates than we're achieving today in the near-term quarters, if we didn't see some slowdown in consumer and solar. With that said, we see strength in the other markets. We see strength in our pipeline growing, both in number of customers now for projects. So despite kind of a mixed market environment out there and equip slowdowns in growth rates in some cases, we see us growing significantly faster than the market, as we mentioned in our prepared remarks, I think that probably translates to 50% growth or more next year. We haven't given official guidance, but as an early indication that speaks to the strong growth despite kind of a choppier mixed market environment out there.
Jon Tanwanteng: Okay. Great. Thank you. And then, Ron, you mentioned something about entering Q4 fully booked, is that versus your existing capacity? Or how should we qualify that comment. Just help me understand what it means to be fully booked.
Ron Shelton: Yes. So just very simply, when I say reference fully booked, as we look at our revenue outlook for the quarter end, our capacity available, it's effectively fully booked. So any guidance I gave would suggest that most of that was in backlog at the beginning of the quarter.
Jon Tanwanteng: Got it. And then just a follow-on to that how do you improve the capacity going forward to drive that -- the growth that Gene just mentioned in the past comment.
Gene Sheridan: Yeah. I could grab that one. So we mentioned early this year, maybe it was even late last year, we signed an agreement with X-FAB for a 500% increase in capacity. That obviously is a big deal that includes material and FAB capacity. And that's throughout this year and into next year. So we're benefiting today by growing not only our backlog as Ron said, but growing that capacity quarter-by-quarter appreciably throughout this year next year. In a similar way, TSMC expanded the GaN capacity and tripled it and finished that one up last year. So we're in a pretty strong position to fill. In fact, we're building -- we're shipping all we can build on GaN as well, not that we don't have the capacity, but the orders keep coming in with very short lead times. So we're constantly scrambling to try to fulfill those upside demand in Q3 and Q4.
Jon Tanwanteng: Got it. That's great color. Thank you, Gene.
Gene Sheridan: You bet. Thanks, Jon.
Operator: [Operator Instructions] Your next question comes from the line of Quinn Bolton of Needham & Company. Your line is open.
Quinn Bolton: Hey just had a quick follow-up. The earn-out liability seems to be jumping all over the place. I think it was $70 million on the balance sheet last quarter down to 30-something million this quarter. Just wondering if you might be able to help us as we think about that earn-out liability for the GeneSiC acquisition, as liability comes down, does that mean that the GeneSiC revenue outlook is negatively affected? Or what's the -- what should we be reading into kind of the GeneSiC outlook as that liability comes down?
Ron Shelton: Yeah, Quinn, good question, just as a point of clarification, with the GeneSiC acquisition there was an earn-out as part of the deal, but we're past the period where that earn-out ran. So what you see on the balance sheet today, that earn-out liability actually goes back to the IPO. And that earn-out liability goes up and down based on our stock price. So it's has nothing to do with the GeneSiC acquisition and is only related to earn-out related to the IPO.
Quinn Bolton: Got it. Thanks for the clarification, Ron.
Ron Shelton: Yeah, you bet.
Operator: Your next question comes from the line of Mark Lipacis from Jefferies. Your line is open.
Mark Lipacis: Hi. Thanks for taking my question. Clarification, a couple of questions, so to the question about the mobile strength, so it sounds like that this is penetration or expansion you expanding inside of product lines of your customers, and you haven't yet seen broader handsets start to bounce up off the bottom. Is that an accurate interpretation of what you were qualifying for your growth in mobile?
Gene Sheridan: Yeah. It's a good question, Mark. It's clearly adoption or conversion from silicon is the main driver. I actually couldn't quote or their total mobile charger shipments, probably Xiaomi and Oppo, of course, are in a better position to talk about, how much they're shipping and where there might be a bottom overall, but we're certainly the beneficiary of significant conversion from silicon to GaN. So it's hard for me to quantify the two, but clearly, the predominant factor is conversion from legacy silicon over to our GaN ICs.
Mark Lipacis: Got you. Okay. That's helpful. And is it fair to assume that that linearity of bookings that you've kind of ramped through the quarter? And is that fair? I mean, it kind of sounds like you guys are really hitting your stride here.
Gene Sheridan: What do you mean by linearity maybe? Or could you clarify?
Mark Lipacis: Well, if you think about what your total bookings are for the quarter, you could have a-third, a-third, a-third or it could have ramped 20/40/50 or something like that as 20/30/50 bookings ramping through the quarter?
Gene Sheridan: Yes. I mean I think it's fair to say, while we started the quarter pretty heavily booked up, as Ron said, we -- I also mentioned we continue to get sort of short lead time upside orders, especially from the mobile guys and they historically don't give you a ton of advanced notice. But we'd certainly like to be more linear. So we're building everything we can in the back of the quarter just because that's when some of these upsides orders are also coming in early in the quarter kind of within cycle time putting pressure on us to try to ramp up faster.
Mark Lipacis: Got you. And then, Ron, you talked about the cash balance. How much cash would you -- do you feel like you need to have on the balance sheet to run the company. Could you talk about appetite for further acquisitions going forward? And if so, what kind of is in your sweet spot? Thanks.
Ron Shelton: Yeah, sure. Good question. Well, with respect to the balance sheet and cash, clearly, we have enough cash and have been consistent to certainly run the business to operating breakeven and execute on our epi expansion that we've talked about before. I think beyond that, our need to approach the capital markets, raise equity or debt would be tied to a transaction such as an acquisition. So today, though, we feel really good about the balance sheet and where we stand with cash, no debt. I think we're being much better with working capital and being efficient with working capital, certainly efficient with our CapEx. So -- so we're certainly comfortable with the balance sheet and where it sits today.
Mark Lipacis: Fair enough. Thank you.
Operator: Your next question comes from the line of Kevin Cassidy of Rosenblatt Securities. Your line is open.
Kevin Cassidy: Thanks and congratulations on the great results. And I came on the call a little late, so if I'm repeating a question, and I apologize. But have your costs come down as you've mentioned tripling the capacity with TSMC and then also there's just lots of news in the press about silicon carbide wafer substrates coming down in price. Are you able to benefit from that? And is that helping gross margin expansion?
Gene Sheridan: Yeah. I think it's certainly a driver. I mean we're coming out of an environment where I think people are dealing with cost increases, right? What we saw TSMC on GaN and other places throughout the whole industry. So I don't see reversing that dramatically that quickly. I think costs are reasonably stable. I think prices are reasonably stable. So I don't think it translates into big gross margin jumps. I think where we can capitalize on cost reductions. Obviously, in-house epi is one example. The yield is getting a bit better than even we expected with the great yields that Ron talked about. We're generally going to try to use that for better pricing power to drive market share and continue the great growth and adoption rates as a general approach. But with that said, we're also committed to our margin expansion plans as we've always talked about, and we continue to balance the two.
Kevin Cassidy: And I guess I would assume that 4 major new tech platforms that you have are all going to be margin accretive?
Gene Sheridan -: Yeah, exactly. We generally expect any new products, especially big ones like these, we're going to be highly valuable in bringing our margins up, accelerating that margin expansion and delivering margins that are well above whatever the corporate average is at the time.
Kevin Cassidy: Okay. Great. Thanks again. Thanks and congratulations again. Here we go.
Operator: Your next question comes from Jack Egan of Charter Equity Research. Your line is open.
Jack Egan: Hey guys. Thanks for taking the follow up. I just have one quick one. I was curious about the inventory write-off that you had in the quarter. Was that just kind of like a onetime thing? Or could it be implying that there's some risk of obsolescence with some of your products. I could see also how see how that's just the technology moving so fast that things become obsolete pretty quickly. But I'm just curious on your thoughts on that.
Gene Sheridan -: Yes, Jack, good question and you nailed it. You answered the question for me, Ames. So the write-off had to do with older generation Gen 1, Gen 2 product. And our customer base, as we want them to, is moving very quickly to of our Gen 3, Gen 4 and beyond products, and that's happening right now. And you try to make kind of balance that, balance that transition, and it's hard to do. And so what we ended up this quarter as we look out over the next 12 to 15 months. We had some older generation product on the books, and the right thing to do is take a reserve against it. So it's a onetime thing against those products. And again, it's something we evaluate every quarter. But that's what drove it. So it's really about a transition in next-gen products.
Jack Egan: Got it. That make sense. Okay. well, that’s all for me. Thanks.
Operator: [Operator Instructions] And as there are no further questions, I would like to thank our speakers for today's presentation, and thank you all for joining us. This now concludes today's conference. You may now disconnect.